Operator: Well, good day, everyone, and welcome to the Q1 2025 Knowles Corporation Earnings Call. This call is being recorded. At this time, I would like to hand things over to Miss Sarah Cook. Please go ahead, ma'am. 
Sarah Cook: Thank you, and welcome to our first quarter 2025 earnings call. I'm Sarah Cook, Vice President of Investor Relations. Presenting with me today are Jeffrey Niew, our President and CEO, and John Anderson, our Senior Vice President and CFO. Our call today will include remarks about future expectations, plans, and prospects for Knowles Corporation, which constitute forward-looking statements for purposes of the safe harbor provisions under applicable federal securities laws. Forward-looking statements in this call will include comments about demand for company products, anticipated trends in company sales, expenses, and profits, and involve a number of risks and uncertainties that could cause actual results to differ materially from current expectations. The company urges investors to review the risks and uncertainties in the company's SEC filings, including, but not limited to, the annual report on Form 10-K for the fiscal year ended 12/31/2024, periodic reports filed from time to time with the SEC, and the risks and uncertainties identified in today's earnings release. All forward-looking statements are made as of the date of this call, and Knowles Corporation disclaims any duty to update such statements except as required by law. In addition, pursuant to Reg G, any non-GAAP financial measures referenced during today's conference call can be found in our press release posted on our website at knowles.com and in our current report on Form 8-K filed today with the SEC. This will include a reconciliation to the most directly comparable GAAP measure. All financial references on this call will be on a non-GAAP continuing operations basis unless otherwise indicated. We've made selected financial information available in webcast slides, which can be found in the Investor Relations section of our website. With that, let me turn the call over to Jeff, who will provide details on our results. Jeff?
Jeffrey Niew: Thanks, Sarah, and thanks to all of you for joining us today. Before I provide our commentary on the Q1 results and report on what we are seeing in our markets for Q2 and beyond, I would like to touch on the tariff situation we are all hearing so much about. Obviously, there's a lot going on in the markets over the last few weeks. It has been and continues to be fluid. And while I'm being cautious about how it could impact our business, I believe Knowles Corporation is well-positioned to continue to deliver growth in earnings and revenue despite the current tariff environment. The tariff situation can be easily explained by breaking things into three major areas that could affect Knowles Corporation. First, and most simply, our direct tariff exposure. That is our revenue that could be subject to tariffs. Generally speaking, Knowles Corporation is a proximity manufacturer, meaning the vast majority of product built in the US is shipped within the US, and product built in Asia ships to customers in Asia. Based on this proximity manufacturing strategy and our associated footprint, we estimate that less than 5% of revenue is subject to the current tariffs. In our markets of medtech, defense, and industrial, our expectation is we can pass these tariffs onto our customers without significant loss of business. Second, is an indirect tariff exposure or impact on our sourcing of raw materials for our different manufacturing locations. We have a world-class global supply chain team that, when possible, procures materials geographically close to our production facilities. We believe that less than 3% of our cost of goods sold will be impacted by current tariffs. We also anticipate being able to recover substantially all tariff impacts through price increases and surcharges. Finally, there's an impact on our customers' end market demand. This is the most difficult to predict at this moment, and while no company will be immune to the effect of tariffs, I believe the markets we serve in medtech, defense, and industrial sectors will be relatively insulated from tariff impacts. Let me explain a bit. The applications that our products serve in the medtech market have traditionally been considered essential. Our capacitors are in implantable devices, imaging, and ventilators, to name a few. Hearing aids have also been considered essential devices. Our historical experience shows economic shocks and subsequent recessions can have modest short-term impacts on these markets but tend to have very little impact over the course of a year. I also believe that the defense programs we participate in are secure. In the past, the RF filters and capacitors that we sell into the defense space have generally been insulated from economic downturns. Lastly, in the industrial market, it has been more sensitive than medtech and defense recessions. But we are not currently seeing any impact on demand. We are obviously monitoring this closely as this could change based on the macroeconomic environment. Now I'll turn to our results. We started 2025 on solid footing in Q1, delivering revenue of $132 million at the high end of our guided range. EPS of $0.18 was at the midpoint of the guided range. And we delivered cash from operations exceeding the high end of the guided range. Turning to our segments. In Q1, medtech and specialty audio revenue was $60 million, up slightly on a year-over-year basis and seasonally down from Q4. Hearing health revenue was seasonally down, which was offset by strength in our specialty audio business and our supply of metal cans in connection with the sale of the consumer MEMS microphone business. As it relates to the current tariff environment, our historical experience shows that during times of economic uncertainty, there is often a short-term decline followed by a rebound in demand in our hearing health business. By way of example, in February, during the dot-com bubble burst, in 2008 during the financial crisis, and in 2020 during COVID, the market contracted for one or two quarters in response to the economic uncertainty with demand returning quickly to normalized levels. This is evidenced by hearing health markets growing 2% to 3% annually over the last twenty years. That all being said, our backlog for the medtech and specialty audio segment for Q2 is strong. Our partnership with our customers is leading to continued innovative solutions, enhancing the performance of their products. This, coupled with our strong performance in the specialty audio business and new opportunities utilizing core company competencies in medical markets, leads us to continue to believe in our ability to grow throughout 2025 with year-over-year revenue growth accelerating in the second quarter. In the Precision Device segment, Q1 revenue was $73 million, flat to Q4. This was expected while we continue to work through production challenges in our specialty film line. Progress is being made. Our new prototype production line is up and running, improving the production flow. Yields are improving, and I have confidence in the team to continue to incrementally improve shipments throughout the first half of the year with a larger ramp-up coming in the second half of the year. We are well-positioned for growth in 2025 as the specialty film line ramps to full production. Additionally, we have strong design and quoting activity, especially in medtech, defense, and EV markets with our ceramic capacitors. Q1 booking trends for the Precision Device segment, independent of our previously announced $75 million plus energy order, were strong for the second consecutive quarter. The booking strength was broad-based across most of our end markets, as we believe inventory levels are normalizing. It's noteworthy that bookings and shipments to our distribution partners across all our capacitor products are favorable as we continue to see their inventory levels reducing. This gives me confidence in the Precision Device segment's expected return to year-over-year growth in the second quarter of 2025. In the first quarter, we purchased $5 million in shares and reduced our debt level by $15 million as our cash generation from operations exceeds the high end of our guidance range. We expect to generate robust cash from operations throughout 2025. This will allow us to continue to explore acquisition opportunities, buy back shares, and keep our debt at a manageable level. As we close out the first quarter of 2025, I'm excited about the opportunities we have in front of us. We continue to see strong design wins across our product portfolio. With distribution orders increasing and inventory levels normalizing in the industrial markets, coupled with increasing backlog and demand for our products, I have greater confidence that we will see year-over-year growth for 2025. On May 13, we will be hosting our Investor Day. We will have the opportunity to lay out our plans for future growth in detail. I'm excited you will have the opportunity to hear from several members of our senior leadership team. They will discuss our competitive advantages and why we win across the markets we serve. Now let me turn the call over to John to detail our quarterly results and provide our Q2 guidance. Thanks, John.
John Anderson: We reported fourth-quarter revenue of $132 million, down 1% from the year-ago period and at the high end of our guided range. EPS was $0.18 in the quarter, flat from the year-ago period and at the midpoint of our guidance range. In the medtech and specialty audio segment, Q1 revenue was $60 million, up slightly compared with the year-ago period. Q1 gross margins were 48.7%, down 450 basis points versus the year-ago period. As part of our supply agreement with Syntient, we produced supply metal cans on a cost-plus basis, which negatively impacted gross margins by nearly 200 basis points in the quarter. The remainder of the year-over-year decline in gross margin was driven by unfavorable customer mix and the absence of a one-time benefit which was recorded in Q1 2020. While the supply agreement with Syntient is expected to continue through the remainder of 2025, we expect MSA gross margins to improve sequentially driven by mix improvements and higher capacity utilization, resulting in full-year gross margins in the low 50% range. The Precision Devices segment delivered first-quarter revenues of $73 million, down 2% from the year-ago period and slightly above our expectations going into the quarter. Segment gross margins were 35.7%, flat from the first quarter of 2024 as factory productivity improvements in our legacy precision device business were partially offset by factory inefficiencies as we ramp up the specialty film product line. On a total company basis, R&D expense in the quarter was $8 million, flat with Q1 2024 levels. SG&A expenses were $25 million, down $2 million from prior year levels driven by cost reduction actions taken to right-size spending in connection with the sale of the consumer microphone business. Interest expense was $3 million in the quarter, and down $2 million from the year-ago period as we continue to reduce our debt level. Now I'll turn to our balance sheet and cash flow. In the first quarter, we generated $1 million in cash from operating activities, exceeding the high end of our guided range driven by higher than expected customer prepayments. It is important to note that cash from operations for the three months ended March 31 includes $21 million in cash used to settle supplier obligations related to the consumer MEMS microphone business, which was sold last year. Capital spending was $4 million in the quarter. During the first quarter, we repurchased 300,000 shares at a total cost of $5 million and reduced outstanding borrowings under our revolving credit facility by $15 million. We exited the quarter with cash of $102 million and $189 million of debt, that includes borrowings under our revolving credit facility and an interest-free seller note issued in connection with the Cornell acquisition. Lastly, our net leverage ratio based on trailing twelve months adjusted EBITDA was 0.7 times. And we have liquidity in excess of $350 million as measured by cash on hand plus unused capacity under our revolving credit facility. Moving to our guidance. For the second quarter of 2025, revenues are expected to be between $135 million and $145 million. R&D expenses are expected to be between $8 million and $10 million. Selling and administrative expenses are expected to be within the range of $23 million to $25 million. We're projecting adjusted EBIT margin for the quarter to be within a range of 19% to 21%. Interest expense in Q2 is estimated at $3 million and includes non-cash imputed interest. We expect an effective tax rate of 13% to 17%. We're projecting EPS to be within a range of $0.21 to $0.25 per share. This assumes weighted average shares outstanding during the quarter of 90.1 million on a fully diluted basis. We're projecting cash generated by operating activities to be within the range of $10 million to $20 million, which includes $9 million to settle supplier obligations related to the consumer MEMS microphone business. Capital spending is expected to be $7 million. We expect full-year capital spending to be 5% of revenues as we increase our investments associated with capacity expansion relating to our specialty film line. In conclusion, based on increasing order activity and our growing backlog, we expect to resume year-over-year revenue and earnings growth in the second quarter. Additionally, we expect another year of strong cash generation in 2025. With that, we move to the Q&A portion of the call.
Operator: Thank you, sir. Press 1 on your telephone keypad. Again, that is 1 for questions. We'll take our first question today from Bob Labick, CJS Securities.
Bob Labick: Good afternoon. Thanks for taking our questions.
Jeffrey Niew: Hey, Bob. We can barely hear you, Bob.
Bob Labick: Oh, okay. Yeah. Much better. Much better.
Jeffrey Niew: Better? Okay. Great. Sorry about that. Thank you. Well, first, congrats on a nice quarter, and, obviously, good outlook as well. I think you know, you hit a really important part with the you know, the minimal tariff exposure. Appreciate that color, the 5% direct and 3% kind of indirect. Just know, sticking on the theme for a minute, though, maybe talk about your you talked a little bit about medtech. But overall end market, customer exposure, how are you thinking about that? What are you hearing from your customers in this uncertain time right now around their outlooks and how it may impact you in the back half of this year?
Jeffrey Niew: Yes. So first, I would say, Bob, as I kind of said, you know, we've not seen any change in demand. In fact, obviously, expectations for Q2 are incrementally higher than they were a quarter ago for Q2. I don't think any of this you know, we've been kind of debating. We talked to a number of customers as pull forward. Don't think it is. A lot of our product is custom. A lot of new designs, especially in medtech and in defense. So I think in the medtech space, let me take that first. I think if you think about most of the devices we sell to, they're essential devices. And, you know, maybe you can like, with COVID, you know, put off a medical device for a quarter. But, ultimately, you need a pacemaker, you need a pacemaker. Right? And I think this falls in the same category. A large percentage of hearing aids are sold to customers that already have them and they need new ones. Because they're either very old or they're not working anymore. And you become reliant. You know you need hearing aids. You have either moderate to severe hearing loss, you're gonna go buy your hearing aids. Generally speaking, medtech, I don't think we see that there's a lot of exposure. Defense, I think most of the programs we're on are very insulated. I'm not seeing any change in our defense. Now that being said, I think the one area that we do probably have a little bit more exposure, like, generally is industrial. Now here's what I would say about that. You know, I've talked over the last few quarters about the inventory levels at our distributors, which service the majority of our industrial customers. You know, like, two quarters ago, I talked about there was six months of inventory, then I said there was four to five, then I said four, four and a half. You know, we're seeing that inventory now level get to the three to three and a half month level, which is normalized inventory. And we're starting to see, again, because of that, an increase in order activity because as they see the demand, they're gonna start falling into a dangerously low position on inventory. So, you know, I think from our perspective, you know, right now, as we look through the rest of the year, we feel pretty good right now about the rest of the year. Now you know, all things being said, you know, somebody could wake up tomorrow. There could be something new. But the way the tariffs are today, and how it's impacting our business, it feels like there's, like, very minimal impact to us right now.
Bob Labick: Okay. Great. Appreciate the extra color. That's wonderful. And then in terms of the, you know, the growth drivers of the business, obviously, you have this you talked about last quarter, the $75 million plus capacitor order starting next year into an energy end market. Any updates there? Any changes? Any impact from that since it's, you know, a little bit vague? To us, you know, from the macro environment, or is that still, you know, strong and you're confident in that as well?
Jeffrey Niew: Well, I mean, yeah, we received a pretty substantial prepayment in the first quarter, which drove our cash flow to be above the high end of the guided range. So this customer is fully committed, and we don't see any impact on delivery starting, you know, in 2026. I think we've said in the past, expect something in the neighborhood of about $25 million of shipments on this order in 2026.
Bob Labick: Super. Alright. I will jump back in queue. Thank you.
Operator: The next question is from Anthony Stoss, Craig Hallum Capital Group.
Anthony Stoss: Hey, guys. Nice results. Let me just get a housekeeping one out of the way. John, can you maybe I missed it. Can you talk about kinda gross margin trajectory starting Q2 and where you think it ends up in Q4?
John Anderson: Yeah, Tony. You're talking about for the total business? Total company?
Anthony Stoss: Yes. Total company. Yes.
John Anderson: Yep. So if you think about the results that we just issued just above just slightly above 41% in gross margins. We're gonna see pretty significant sequential improvement in that, and you really have to look business by business. But the main drivers are gonna be again, with demand moving up, our capacity utilization is gonna improve both in the PD business as well as the MSA business. Both are increasing capacity. In addition, there's some mix improvement that is gonna benefit us going into, you know, beginning in Q2. And, really, we expect sequential improvement. Jeff mentioned this. We expect a stronger given the uncertainty out there, we still expect a stronger back half than front half. And again, that's gonna drive sequential expected to drive sequential gross margin improvement throughout 2025.
Jeffrey Niew: Yeah. I just would add one piece is, you know, I think we've talked about in the past, Tony, you know, about how capacity utilization has been really a holdback on especially in the precision device area in terms of gross margin over the last year, year and a half. And we're starting to see that start to dissipate as the demand is coming back. I didn't mention this in the prepared remarks, but the book to bill precision devices was above 1.15 in Q1. I mean, it was strong. We had very, very strong orders for precision devices. And that's not, of course, not counting the $75 million energy order.
Anthony Stoss: Right. Can you give us a range exit, you know, gross margin to the company in Q4? 45% to 47% as we exit the year. In gross margin.
Jeffrey Niew: Perfect. Perfect. And for you, Jeff, I mean, it's awesome that most of your production of PDs is in the US. Do you think you might be able to pick up share from some of your competitors that don't produce much in the US? I'm just curious your thoughts on how you think the rest of the year plays out? Are you seeing the inbound calls? Anything would be helpful.
Jeffrey Niew: Tony, I was saving that for the next call, but I'll give you a little color here. You know, here's the situation. You know, I think, you know, with the dynamic and volatile nature of what's going on, I'm a little hesitant to start, you know, putting that out there to say yet. But we are definitely getting calls that say, okay. With these tariffs, you know, normally, we had said, you know, we had walked away from some of these lower margin businesses. And now what they're saying, maybe we should consider buying with you. And it's also security and supply. And so it would primarily be in the industrial space. Than medtech or defense. I mean, I don't think we're seeing anything like that. But in the industrial space, we're definitely seeing a number of customers initiate conversations with us. It's more than a handful saying, okay. We should start having some discussions. I wanna see how this all plays out over the next quarter. But that definitely could be an upside in the back half of the year. That's not factored into what we're saying today.
Anthony Stoss: That's really good news. I would lock them into long-term supply agreements, get them down quick. Great execution, guys. I'll jump back in queue.
Jeffrey Niew: Thanks, Tony.
Operator: And just a reminder, everyone, that is star one if you have a question. We'll go next to Christopher Rolland, Susquehanna.
Christopher Rolland: Hey, guys. Congrats on the results. So my question is if you could perhaps add some commentary around bookings. The book to bill above 1.15 is pretty incredible for PD. So what are we seeing for the back half? Are these really starting to fill out now? And then perhaps associated with that, I saw receivables were up. Does that kinda speak to the linearity in the quarter? Would you just describe things as kind of accelerating?
Jeffrey Niew: Yeah. What I'll let John do a little checking on the receivables so he could put her for a minute, just to be clear, the bookings were above 1.15. 1.15. Okay. I thought I heard 1.05. Okay. Yeah. 1.15. But not counting the $75 million plus order we received from energy. Right? So if you could counter that, the book to bill would be a crazy number. We tried to but it was pretty broad-based. In PD. Across our capacitor products, filters, and both the legacy PE business as well as, you know, formerly the Cornell business. So it's been pretty broad-based. I think, you know, as I kinda said, what was most encouraging in the quarter is to see another step down of inventory at the distributors. Where it's now getting, you know, we're starting to see, you know, that demand is going up. Inventory is coming down. So we're getting very close to what I would sit there and say is, like, there's risk. And that's why we're seeing more orders from distributors because they're starting to say their inventories are gonna start falling below where they feel comfortable and hence, you know, why we're getting strong bookings there. I would also add, you know, beyond the distributors, you know, and we'll talk more about some of the applications at the Investor Day, but we have a lot of new products, you know, from specialty film, a lot of new products going to production. So very good. That's very all positive PD. The second piece, I would just talk about, you know, MSA. The medtech and specialty audio. You know, we expect, you know, pretty strong sequential and year-over-year growth. In Q2. And it's driven by and the customer mix should be a little bit better in Q2. We've kinda talked about it kinda impacting the gross margins a little bit. But it should be better, the customer mix, in Q2. So, you know, I think you know, I wanna be cautious here, you know, but Chris, but right now, I look through the year, a lot of the orders we're getting, especially in medtech and defense, they're not orders, like, these are not terms orders. Like, we get an order, deliver it, and they were done. These are orders that are being booked for the rest of the year. And so we feel pretty good about the full year.
Christopher Rolland: Yeah. Interesting question. Question on receivables. Nothing unusual here. It's just timing of customer collections. Our receivables were at the end of Q1 kind of flat with 12/31, but you're right. They were up a fair amount from March 31 of 2024. And, again, nothing special. It's not like we're having collection issues or anything. It's just timing of payments. We have some customers, larger customers that have 3/31 year ends. Sometimes they pay before. Either year-end. Sometimes it slips into Q2, but no nothing alarming there.
Christopher Rolland: Excellent. And I do not wanna steal any thunder from the analyst day. But it seems like the business is solidifying. So I was wondering kind of what's next for Knowles Corporation. Like, how much focus is there on inorganic growth opportunities, like, in new product segments, and then how much opportunity or how much of your focus is spent on inorganic opportunities, outside of the company?
Jeffrey Niew: Yeah. And I think that's a really great question, Chris. First, let me talk about the organic opportunities. Each one of our business unit leaders will be presenting gonna go into these opportunities that they have, you know, over the next, you know, one, two, three years of where growth could come from. So they're all gonna do that. On the inorganic side, you know, we are gonna have I don't know if we've announced officially the presenters list. But our head of corporate development is gonna be presenting at the Investor Day. And to talk about, you know, our inorganic opportunities. I would sit there and say, and he would probably our guy who does this, said, you know, a pretty significant portion of his time during the Cornell acquisition was also dedicated towards the divestiture of the consumer MEMS microphone business. He's freed up now to spend more time with his team on any inorganic opportunities. And I think I wanna caution, you know, right now, like, with the market the way it is, I think things are like, a lot of people are pausing on M&A right now. I'm glad our balance sheet looks great. We're in a great position. But, you know, we're ready when the right opportunity comes along to move that forward. And we're gonna go into more detail about what we're looking for and the kind of metrics we're looking for, the type of products. We'll go into more detail on that at the Investor Day.
Christopher Rolland: Fantastic. Thanks, Jeff, and congrats.
Jeffrey Niew: Yeah. Thanks.
Operator: At this time, no one else has signaled, but I'll give a final reminder. Star one if you have a question. We'll pause for just a moment. And at this time, there are no further questions. That does conclude our question and answer session as well as our conference for today. We would like to thank you all for your participation. You may now disconnect.